Operator: Good day, and thank you for standing by. Welcome to the Viper Energy Fourth Quarter 2024 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Chip Seale, Director of Investor Relations. Please go ahead.
Chip Seale : Thank you, Lauren. Good morning, and welcome to Viper Energy's fourth quarter 2024 conference call. During our call today, we will reference an updated investor presentation, which can be found on Viper's website. Representing Viper today are Kaes Van't Hof, CEO; and Austin Gilfillan, President. During this conference call, the participants may make certain forward-looking statements relating to the company's financial conditions, results of operations, plans, objectives, future performance and businesses. We caution you that actual results could differ materially from those that are indicated in these forward-looking statements due to a variety of factors. Information concerning these factors can be found in the company's filings with the SEC. In addition, we will make reference to certain non-GAAP measures. The reconciliations with the appropriate GAAP measures can be found in our earnings release issued yesterday afternoon. I will now turn the call over to Kaes.
Kaes Van't Hof : Thank you, Chip. I'd like to also note that Travis Stice, going CEO, is joining us for one more Viper call here. So it's good to have him in the room as well. But welcome, everyone. Thanks for listening to our fourth quarter 2024 conference call. The fourth quarter concluded a landmark year for Viper. For the full year, we continue to deliver strong organic production growth on our legacy assets and successfully executed on our differentiated acquisition strategy. Looking ahead, we continue to be excited about the transformative drop-down transaction between Viper and Diamondback that was previously announced. And we recently closed the separate Quinn Ranch acquisition a couple of Fridays ago. On the drop-down, specifically, this transaction is unique in its value proposition to Viper given the alignment it provides with Diamondback's expected development over the years to come and the resulting organic growth that can be driven by Diamondback drill bit. Further on this point, on a pro forma basis, Viper expects to own an interest in approximately 75% of Diamondback's expected completions over the next five years with an average 6% NRI within those wells. This is greater alignment than we have realized over the past 8 years on average and is now going to be applied on a much larger scale. Looking at the forward outlook in more detail, we have initiated average daily production guidance for Q1 of 2025 of 30,000 to 31,000 barrels of oil per day. And upon the assumed closing of the drop down expected in Q2 of 2025, we expect run rate daily average oil production of 48,000 barrels of oil a day. Importantly, we also have unique visibility to further growth in 2026 as our Diamondback operated production is expected to increase to approximately 31,000 barrels a day up from approximately 27,000 barrels a day in 2025. This production growth does not take into account the expected accelerated development of Diamondback Southern Midland Basin acreage that was agreed to in the recent uveal acquisition of the Diamondback level. The pending drop down includes substantial non-royalty acreage in Reagan County, mostly via concentrated interests and completely undeveloped units. So this acceleration would bring forward significant NAV for Viper. In conclusion, we continue to believe that Viper presents a differentiated investment opportunity with zero capital and operating costs alignment with our parent operating company that has helped us deliver consistent organic growth and a current size of scale that positions us to be the consolidator of choice in what we feel remains a highly fragmented minerals market, particularly in the Permian Basin. Pro forma from the drop down, Viper will rank amongst the largest U.S. independent E&Ps, and we believe the unique attributes to this business model will continue to be recognized by the market over time as our durable cash flow profile becomes increasingly differentiated. Operator, please open the line for questions.
Operator: Thank you. At this time, we will conduct the question-and-answer session. [Operator Instructions] Our first question comes from the line of Neal Dingmann with Truist Securities. Your line is now open.
Neal Dingmann : Good morning, guys. Kaes, very congratulations. So I just want to congratulate well thought of. My first question, guys, is just on the announced Carty with Double Eagle. You mentioned this morning, I think, on the card, sorry, on the Diamondback call is that -- I think you said, Kaes, maybe around 50% of this plan could benefit denim. I'm just wondering, could you discuss maybe anything around potential timing and just what you're meaning by the potential upside from this for VNOM?
Kaes Van't Hof : Yeah, we're still working out all the details and timing give me dependent upon where the rigs get moving down there in the southern portion of our acreage. But high level, we expect at least $50 million of upside to Viper from a cash flow perspective at, call it, $70 oil in 2026. I expect that number probably grows a bit in the coming years. But as we start to get more clarity on timing and interest, we'll update the market. I think we have an opportunity also to buy a lot of minerals down there in Reagan County. It seems to be an emerging part of the basin where there hasn't been as many deals today. So Austin and his team are actively looking at opportunities down there.
Neal Dingmann : Thank you, guys. And then maybe Travis, since our last call, I'd just love to hear for your last on this one. If you still believe sort of the post large drop and just all the acquisitions you guys have been successful is. Just wondering when you still look at VNOM, do you still believe that the opportunities are as good as ever and maybe what other incremental accomplishments do you think still lies ahead for us and the team?
Travis Stice: Yeah. Look, we're -- it's almost an embarrassment of riches the amount of talent that's assembled on this Viper team. But what's even more exciting than that is just the runway in front of these guys when we took this company public, guys been a long time ago to 10-11 years. We always had a vision that it could be in the situation we're in today. It just took us a while to figure out what was the right structure to be able to get it there. But I think this is a category killing company, and it's refreshing to see talent and opportunity coincide in the way that it's doing here at Viper Energy Partners. Thank you, Neal, for give me the chance to mention that.
Neal Dingmann : I could agree more. Thank you all.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Neil Mehta with Goldman Sachs & Co. Your line is now open.
Neil Mehta : Yeah, twice in a day, lucky me here. So Kaes, Travis, just curious your perspective on the payout. So you've got the guide for 75% to 100% and just your perspective, given the strength of the balance sheet, where do you see the likely payout over the next couple of years? And what are the parameters that you're watching to be on the lower end or the higher end of that range?
Kaes Van't Hof : Yeah, Neil, that's a great question because when we started this business, it was a 100% pass-through and we distributed every dollar we made every quarter. What that -- what happened with that situation is that, that made us rely on the capital markets for doing deals, right? So we had to do equity deals we had to lean on the balance sheet anytime we wanted to do tuck-in acquisitions. And now since we've gone back to 75% of free cash returns, it's still a very high number. But for mineral business, I think it makes a lot of sense. But that leaves 25% of our free cash flow, a number that's now growing pretty significantly with the drop down to continue to do deals, the little deals that add up under the Diamondback drill bit, and we don't have to go do a big marketed trade to get those deals done. So I really like 75% for Viper. I mean we've certainly been vocal that the base dividend needs to grow, and we're prioritizing the variable dividend over repurchases. But there have been times over the past 10 years where repurchases made a lot of sense for Viper. So we have that ability. And in my mind, that would be an ability to lean in above 75% if there was extreme volatility in the market. So really a very flexible business model. I think after the large equity raise for the drop down where the balance sheet is in a really, really good position to either grow the business or keep returning more capital.
Neil Mehta : Okay. Thanks. And then obviously, Double Eagle transaction done on the other side of the house. Will that create some opportunities for potential drop-downs here into Viper?
Travis Stice: Yeah, the drop-down opportunity is probably small in that. I think they have a 76% effect of. So we could do what we did with Endeavor where we do carve out the SRI create an override for Viper. So I would say the smaller opportunity. What's more exciting probably for us is the rating counting opportunity that Kaes outlined with the accelerated development of the large overrides we got from the drop down and then also kind of having a new playground down there to go up around it and try to buy some minerals where there hasn't been much activity or buying the course of the last, really, the history that the Permian with the horizontal development.
Neil Mehta : All right. Thanks, all. Thanks, team.
Kaes Van't Hof : Thanks, Neil.
Operator: Thank you. Our next question comes from the line of Kalei Akamine with Bank of America. Your line is now open.
Kalei Akamine : Hey, good morning, guys. Just one for me here. Kind of thinking about your data center plans and that development is currently taking place at Bang [ph]. But wondering if you think that's the right vehicle to maximize the value of that development when you kind of look at your peers in the royalty space, it seems like royalty with surface rights seems to be a business model that the market really likes here. Any thoughts on dropping that piece down to?
Kaes Van't Hof : Yeah, we're certainly up line to the -- what's going on in the market on the surface side. We kind of said it on the Diamondback call in my mind, the surface is the smallest piece of the value chain of a data center developer in the basin. But I think the market certainly has a different view. I think for us, there's more value and surface being in the operators' hands and being able to move things around and not worry about intercompany relationships when trying to develop our assets. So it probably stays in Diamondback for now and we keep Viper as a pure-play royalty company. We went to three public state companies once before, and I think we're good at two. So we'll probably stay with Viper and Diamondback for now.
Kalei Akamine : Got it. Thanks, guys.
Kaes Van't Hof : Thank you.
Operator: Thank you. One moment for our next question. Our next question comes from Paul Diamond with Citi. Your line is now open.
Paul Diamond : Thank you. Good morning. Thanks for taking the call. I just want to get an idea of where you guys kind of think about the right level and the split between FANG versus other operators in your long-term operational profile. And the shift in that after the recent drop downs? Or is it still pretty much opportunistic?
Kaes Van't Hof : Yeah, the paying relationship is certainly what differentiates Viper and it got significantly larger with the drop down. I think we want to continue to grow the Viper business, which is what we want -- would like to do it's naturally going to be harder to do it 100% under the paying drill bit. But I think generally, we'll always have the support system of knowing where the majority of our development is coming from and the timing of that development, which is I think the key differentiator at Viper. But I think over time, some of these larger packages that might come available in the basin, we'll have a piece of operations through Diamondback, but not the majority like the drop down. So I think over time, probably dissipates a bit, but that also means the multiple we should be paying for those assets is probably lower.
Paul Diamond : Understood. Makes perfect sense. And actually just to kind of portend my second question, given the increased scale, how do you all think about or have there been any evolution in how you think about kind of the correct balance sheet? Like any interest in delevering quickly or more comfortable taking on a bit more debt. Just your thoughts around that.
Kaes Van't Hof : Yeah. I think the mineral business certainly has the capacity to take on more leverage. I just don't think the market or the rating agencies have come around to that idea. So I think we're still going to run the business fairly lowly levered. I think Viper's kind of cost of capital overall has come down significantly. The fact that we're able to do a $1.2 billion follow-on deal Viper when five or six years ago, we could barely raise $100 million has helped us a lot. And so leverage plays a part, but we need the rating agency support to moving up the rating scale and have access to that capital while not getting over our skis on leverage.
Paul Diamond : Understood. Thanks for the time. I'll leave it there.
Operator: Thanks, Paul. Our next question comes from the line of Derrick Whitfield with Texas Capital. Your line is now open.
Derrick Whitfield: Hey, good morning. Travis, Kaes again, congrats on what you build it, dime back in Viper and congrats Austin on the opportunity you have ahead of you. For my first question, I really wanted to kind of think through -- some of the deeper intervals and opportunities that you guys have across the basin. While clearly, the drop-downs and Double Eagle acceleration are going to drive the near-term growth for VNOM. Could you comment on how close the returns are with these deeper intervals versus the more traditional Wolfcamp and Spraberry zones? And further, are there leasing and activity tailwinds over the next two years that you see for me?
Kaes Van't Hof : Yeah, Derrick. I think when you think about the resource expansion story at Viper, we definitely view that as a compelling story over the next few years. Looking at the returns kind of at the parent company, I think we've moved in the right direction on the cost side and probably in the next two to three years. We think it's going to be pretty competitive with the core development that we're doing today.
Travis Stice: And Derrick, on the leasing front, it's definitely something that we've kind of seen across our its position we signed a big lease on the deep rights with Dimondback for Spanish Trail a couple of years ago that was certainly unique given we owned 100% of the minerals and it was such a contiguous block of acreage. Kind of what we've seen now is operators leasing the acreage or putting it together on an ASME basis. Not too many people want to get too much acreage from aggregated and have the clock running with the lease expirations and such on that front. So I think it will be a story that we see play out over the next couple of years and the lease bonus that we have with the modern day lease causes just kind of be a slight to into the story and the normal royalty stream that we received.
Derrick Whitfield: And then on my follow-up, and I'm going to perhaps reframe the previous surface question. What are your thoughts on the opportunity in the Midland Basin for service ownership, where you have material upstream water and royalty assets? And while surface ownership definitely helps from a leasing perspective with data centers the bigger opportunity that we see on the Delaware side is really on the water sourcing and royalty on water handling.
Travis Stice: Yeah. I mean I think it's certainly another leg of the stool that people are playing in the basin. It's good to see the water business get probably more attention than it used to get used to public subsidiary that was a water business that a hard time getting people on the calls for. But I think it's just natural that as the working interest gets consolidated, the minerals gets consolidated. People start to look for opportunities on the surface and royalties play an important part of that. For us, I think the important part of the business for us is to own the best rock and let activity and capital come to us as a result of that, right? So I think you can have the argument the ride water on the service kind of help you on the mineral side. And maybe that's true to an extent. But for us, with relationship with Diamondback and then just trying to own the highest quality rock in the basin, I think we feel very confident in the activity levels that we'll be able to generate just by focusing on that element.
Derrick Whitfield: Thanks. Great update guys.
Travis Stice: Thanks, Derrick.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Tim Rezvan with KeyBanc Capital Markets. Your line is now open.
Tim Rezvan : Good morning, folks. And thanks for taking my question. And also congrats to everybody on the news on the promotions and on the retirement Travis. I wanted to ask Kaes, on repurchase you have over $400 million of capacity. I would argue you're basically going to be there on the leverage side by the middle of 2025. So amid a pretty tough tape for a lot of energy companies. Viper trading down to the mid-40s. Kind of what are the thoughts on repurchases? And if we see more of a downdraft in the stock for macro reasons are incentivized to get active.
Kaes Van't Hof : Yeah. Tim, good question. I think the repurchase plan is still there. There's still a lot of capacity, especially for Viper size. I think we start to see some weakness or continued weakness to move away from the priority of returning cash to shareholders through the base plus variable. But it's there for a reason, and capital allocation is something we pride ourselves on. And I think we're going to -- we have a -- I don't know, I wouldn't call it a short-term holder in endcap that may monetized at some point. And you'd expect us to participate in that deal. So the repurchase plan is there. I haven't really thought about it for a while, Viper, but certainly something to dust off if we continue to see weakness across the space.
Tim Rezvan : Okay. Appreciate that response. And then the next -- my follow-up, Kaes, on the FANG call and in prepared comments, you've talked about a greater opportunity for consolidation in minerals versus E&Ps. There's been a lot of chatter in the mineral space about large packages kind of on the market. So I was just curious kind of what you're seeing from your seat that kind of drove that commentary? And is it fair to say fiber is going to be as active as anybody at this point.
Kaes Van't Hof : Yeah. I think Viper is in a really good position. The last two years, we've done $2 billion, $1 billion deals that I think surprised the market or not the public market, but our competitors, one of which had a lot of Diamondback activity that we could draw our drill bit buy down the multiple. And I think what we did that deal was we put a pretty unique structure by giving them opco units to defer their tax liability. And that structure got a lot of attention from a lot of mineral portfolios around the basin that had really thought about that as their potential exit. So I think what Viper offers now is an ability to give someone a significant amount of cash without compromising our balance sheet, but also, if we do give out equity, it could be in the form of a deferred tax format through the opco structure.
Travis Stice: No, that's right. And I think the looking position that we're in, Tim, is that we also don't have to buy every deal. There are quite a few sizable packages. We've seen the size of the packages get bigger over the last couple of years. But we've been opportunistic, and we've been able to buy packages better three to day one, but also add duration to kind of the cash flow profile as we see it. So given the organic growth that we see on the -- for the next couple of years mainly driven to the Diamondback drill bid. So we don't feel the need to redeem and with the balance sheet where it is today, that just allows us to be opportunistic for the right opportunity when it comes available.
Tim Rezvan : Okay. Thanks for the comments.
Kaes Van't Hof : Thanks, Tim.
Operator: Thank you. Our next question comes from the line of Leo Mariani with ROTH. Your line is now open.
Leo Mariani : Yeah, hi, guys. Maybe just wanted to kind of ask the M&A question a little bit differently here. So -- do you see maybe kind of significant opportunities out there today in the space? And do you still see the mineral landscape is just incredibly fragmented. Obviously, as you pointed out, there's been significant consolidation on the upstream operator side. But just trying to get a little better sense of the landscape there. I mean we kind of like 5% into the consolidation? And are there still just a lot of smaller kind of owners of minerals kind of running around there that you guys see as an opportunity. And obviously, you've got a very strong balance sheet right now, as you pointed out.
Kaes Van't Hof : Yes. I think from an innings perspective, if you think about Viper, pro forma for the drop down Viper is going to do about round numbers, 50,000 barrels of oil per day production. If the is producing 6 million barrels a day of production at a 25% royalty, there's 1.5 million barrels per day of royalty barrels available to be consolidated. And we're the largest public mineral holder from a production perspective, and we're only 3.3% of the total Permian. So there's certainly some minerals that will never sell or never turn over. But if you just think about the size of the prize they're just in this basin, there's significant opportunity ahead, whereas on the upstream side, if you add the top five or six operators together from a gross production perspective, you're getting closer to 60%, 65%, 70% of the total production in the basin.
Leo Mariani : Okay. Those were very helpful stats really much appreciate that. And obviously, your folks are getting the Endeavor deal, I'm sure prosecuted right now, anticipating a second quarter close. Certainly, that deal is pretty accretive. As I'm looking at the dividend for the company, if we assume that oil prices don't really change much, call them $70, I mean, it looks to me like we should get some nice accretion on the dividend post the close of that deal. Is that generally how you guys are looking at it as well?
Kaes Van't Hof : Yeah, we agree. I think the kind of the next goal for Viper is on a normalized on a normalized price basis, can we get to $1 per share of distributable cash flow each quarter. And I think with the drop down as well as the expected organic growth. I think that's a near-term possibility. And 75% of that going back to shareholders is a nice yield today.
Leo Mariani : Very good. Thank you.
Kaes Van't Hof : Thanks, Leo.
Operator: Thank you. This concludes the question-and-answer session. I would now like to turn it back to Kaes Van't Hof, CEO, for closing remarks.
Kaes Van't Hof : Thank you guys for joining the Viper call today, if you have any questions in order to find us. And appreciate the time.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.